Operator: Before we get started, let remind you that today’s conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions and predictions of the future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity’s Form 10K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. Please note today’s call is being recorded. And now I would like to turn it over to Gail Peck. Please go ahead.
Gail Peck: Thank you, Beth. Good morning from Dallas Texas. Welcome to the Trinity industries second quarter 2011 results conference call. I am Gail Peck, Treasurer of Trinity. Thank you for joining us today. Following the introduction you’ll hear from Tim Wallace, our Chairman, Chief Executive Officer and President. After Tim our business group leaders will provide overviews of the businesses within their respective groups. Our speakers are Steve Menzies, Senior Vice President and Group President of the Rail and Railcar Leasing Groups, Antonio Carrillo, Senior Vice President and Group President of the Energy Equipment Group and Bill McWhirter, Senior Vice President and Group President of the Construction Products and Inland Barge Group. Following their comments of James Perry, our Senior Vice President and Chief Financial Officer will provide the financial summary and guidance. We will then move to the Q&A session. Mary Henderson our Vice President and Chief Accounting Officer is also in the room with us today. I will now turn the call over to Tim Wallace for his comments.
Timothy Wallace: Thank you, Gail and good morning everyone. Our business has continued to confront a variety of scenarios. We anticipate that each quarter will have its own unique challenges and opportunities. I am very pleased with the recent debt refinancing and our railcar leasing business. We were successful in obtaining long-term financing for a trip holdings are majority owned railcar leasing subsidiary. James will provide more permission about this transaction during his comments. Demand for rail cars in North America remained strong during the second quarter. I am pleased that our railcar business significantly increased its’ order backlog during the second quarter. Our railcar manufacturing facilities are ramping up production according to the railcar delivery schedules we described in our first-quarter conference call. Our railcar leasing business is continuing to see strong demand for rail cars. During high demand periods this business is able to obtain better lease rates and extended lease terms. Our barge business increased its order backlog during this quarter. Our barge facility in Missouri that was damaged by severe flooding in May is now well underway towards full recovery. I’m very pleased by the way our personnel responded to the challenges associated with the flood. Our structural wind towers business has been in the process of switching its production lines to accommodate a change in product mix towards larger wind towers. We are experiencing additional costs associated with this transition. As the wind energy continues to evolve, we expect our customers will enhance their designs to obtain more efficient models. We view our flexibility in our other core competencies as differentiators which reinforce our position as market leader for our wind tower customers. Our highway products businesses continue – are continuing to build momentum as they normally do during the construction season. We expect levels of uncertainty to surface as our political leaders work with federal highway spending legislation. Our businesses that rely on highway funding our prepared to respond to shifts in funding for their products. In summary, we are very flexible company and we will continue to adjust the business – as the business climate shifts and demand fluctuates for our products and services. Our overall performance reflects the talents and hard work of our people, the diversification of our businesses, our emphasis on operational excellence, and the strength of our market leadership positions. We are fortunate to have a highly seasoned group of employees who are extremely capable. I will now turn it over to Steve Menzies for his comments.
Stephen Menzies: Thank you, Tim, good morning. Second quarter operating results for the Rail Group and Leasing Group reflect increased railcar production and improved operating performance amidst strong railcar demand. Our Rail Group posted a 66% increase in operating profit, while shipping approximately 39% more new railcars during the second quarter compared to the first quarter of 2011. Our railcar order backlog increased to its highest level since the second quarter of 2008. Our Leasing Group experienced a 21% increase in operating profit compared to the second quarter 2010 due to increased utilization, lower fleet maintenance expenses and profit from lease fleet sales. These rates and renewal trends continue to strengthen, while our lease fleet continues to grow. Railcar demand during the past several quarters and current order inquiries have been strong. Railcars serving shale oil production and natural gas fracing expansion are in high demand as our railcars are serving the chemical and petrochemical industries. These industries are benefiting from abundant low-priced natural gas feedstock encouraging North American production expansion. We are also seeing strong demand for railcars that transport fertilizer, minerals and agricultural products as export shipments of these commodities expand. Demand for railcars that serve the lumber, paper and coal industries continues to be weak. The overhang of idle cars in North America is still declining with some railcar types in tight supply. During the second quarter, the North American railcar manufacturing industry received orders to build 16,900 new railcars while delivering approximately 10,600 railcars. The industry backlog now stands at more than 57,300 railcars. TrinityRail received orders for approximately 7,860 new railcars during the second quarter while delivering approximately 3,115 railcars, bringing our year-to-date delivery total to 5,355. Our second quarter orders were from industrial shippers, railroads and third-party lessors. TrinityRail’s railcar production backlog was approximately 27,240 railcars at the end of the second quarter, up 21% from the end of the first quarter. Approximately 13% of the units in our production backlog are for customers of our leasing business. Based upon our backlog and current new railcar inquiry levels, we project a further increase in railcar production during the third and fourth quarters. For the year 2011 we are projecting delivery of between 13,800 and 14,200 new railcars. As a point of comparison we delivered 4,750 railcars in 2010 and slightly more than 9,100 railcars in 2009. We were successful securing orders during the second quarter that fit very well with our production plans. We continue to focus on orders that optimize production at our facilities currently in operation, minimize line changeovers and reflects stronger pricing levels. Our second quarter orders should position us to retain increased operating leverage. However we are uncertain as to the precise timing of efficiency improvements. Hiring, training and retaining skilled labor to such a steep ramp up in production is challenging. The length of time required to bring our labor force up to speed will impact the timing and scope of production efficiencies. Component supply while tight has not thus far impeded our ability to meet delivery commitment to our customers. We appreciate the responsiveness and support of our key suppliers as we ramp up production. Our success in maintaining our supply chain reflects the effectiveness of our forecasting and the close working relationship we enjoy with key suppliers through long-term supply agreements. Our strong supply chain relationships enhance our flexibility to bring on additional railcar production when market conditions support sustainable demand and strong pricing levels. We added 900 new railcars to our lease portfolio during the second quarter bringing our wholly-owned lease fleet to more than 53,700 railcars, a 5.4% increase compared to the second quarter 2010. Our lease fleet utilization at the end of second quarter 2011 was 99.3%, our average remaining lease term remained at 3.4 years. The average age of our railcars in the fleet was 6.3 years. The TRIP lease fleet totals 14,605 railcars operating in and hundred 99.9% utilization. As a reminder, Trinity owns 57% of TRIP and manages the portfolio. As I mentioned earlier lease renewal trends are favorable. A high percentage of our lessees are renewing their expiring contracts, therefore lowering our re-marketing expenses. Renewal rates are showing strong increases. In the near term we continue to focus on obtaining longer lease terms as we now have the opportunity to reprice assets in a strong lease renewal market. And increase in our fleet average remaining lease term will take time as we only renew a small percentage of our lease fleet each quarter. Higher new railcar prices driven by increased demand and rising steel costs are helping to raise the ceiling on lease rates for existing railcars plus supporting stronger lease renewal trends. In summary, current railcar market conditions remain favorable for improved lease fleet returns and increased railcar production. Our operations team is highly focused on maximizing our operating leverage, sustaining production efficiencies. We will open additional railcar production as sustainable demand prescribes. We continue to grow our lease fleet to meet customer needs as return support additional fleet investment. I’ll now turn it over to Antonio.
Antonio Carrillo: Thank you, Steve. And good morning. The wind industry continues to face a number of issues. Including low natural gas prices, transmission constraints, and uncertainty about the extension of the production tax credit. To make wind energy more competitive our customers are increasing the energy output of the turbines. One way to do this is by using taller wind towers. Beginning in May and throughout June some of our facilities began transitioning our production lines to manufacture 100 meter as opposed to 80 meter towers. The change created a steep learning curve that resulted in operational inefficiencies greater than we anticipated. The impact of this was reflective in our operating margins for the second quarter. And will continue through at least the third quarter. At this time, it is difficult to precisely predict the point at which we will get past this learning curve. As a positive momentum occurring in this area, I am confident that our people will overcome these challenges. In summary, wind energy technology is evolving rapidly. At this point, we’re committed to working closely with our customers as they develop more efficient models. As a result, there may be brief periods of time when we have to make quick transitions within our production operations to support our customers competitive positioning. We view flexibility and competencies in this area are strategic differentiators. I will now turn the call over to Bill for his comments.
William McWhirter II: Thank you Antonio and good morning everyone. Our Construction Products Group had a good second quarter. This segment produced a profit of $16.1 million for the quarter compared to $17.7 million during the same quarter a year ago. The quarter last year included $2.8 million of profits generated by our Ashmore business which we divested in August of 2010. During the second quarter we made a small acquisition in our highway business. Additionally, a few weeks ago we acquired a small galvanizing business located here in Texas. These acquisitions are part of an overall strategy to leverage our competencies and expand our Construction Products segment. Two acquisitions will increase revenue by approximately $30 million per year. Our Concrete business continues to be challenged by low demand for residential and commercial building. We have adjusted our portfolio of ready mix assets to achieve the best results possible in the current market. Our Highway business is continuing to perform well during the peak construction season. Moving to our Barge segment, the flooding of our plant in Missouri was worse than we had estimated. Floodwaters rose to seven feet in the plant, resulting in lost production for seven weeks. We’re currently running about 50% of plant production and expect to fully recover sometime in September. Our people have done a great job of getting us to this point in a relatively short period of time. During the quarter we signed $151 million in new barge orders, increasing our backlog to 494 million as compared to 350 million a year ago. Recent market discussions with our customers are encouraging. The barge movement with chemicals and coal and grains continues to be strong. Overall, I am pleased with the performance of our barge business. At this time, I will turn the call presentation over to James.
James Perry: Thank you Bill and good morning everyone. My comments relate primarily to the second quarter of 2011. We will file our Form 10-Q later today. For the second quarter of 2011, Trinity reported earnings of $0.37 per common diluted share, more than 60% improvement over the $0.23 per common diluted share that we earned of the second quarter of 2010. Revenues for the second quarter of 2011 increased to $711 million compared to $543 million in the same quarter last year. Trinity’s EBITDA during the second quarter increased to $144 million from $120 million in the same quarter of 2010. The reconciliation of EBITDA was provided yesterday in our press release. Included in our results for the second quarter of 2011, were $8.4 million in costs net of estimated insurance recoveries associated with the flood in our Missouri barge facility. As Bill mentioned we have assumed operations and expected fully recover this facility in September. We were able to partially offset the second quarter impact with $4 million of insurance proceeds related to last year’s flood at our Tennessee barge facility as that claim process continues. In early July, we completed the refinancing of our trip warehouse line. The refinancing included $857 million of medium and long-term asset-backed securitized debt. We’re very pleased with the terms of the transaction which was well received by the capital markets and repositioned for future growth. The refinancing also included $175 million of three years senior secured notes of which Trinity holds $112 million. At June 30th, our balance of unrestricted cash and short-term marketable securities totaled $299 million. When combined with available capacity under our corporate revolver, and Trinity’s leasing warehouse facility, our liquidity positions suited approximately $1 billion at the end of the second quarter. I’ll now discuss our forward-looking guidance. For the third quarter of 2011, we expect earnings per common diluted share for the company to be between $0.32 and $0.37. We expect earnings per common diluted share of between $1.35 and $1.45 for the full year of 2011. We anticipate that the Rail Group will report revenues of between $360 million and $380 million with an operating margin of between 5% and 7% for the third quarter of 2011 as the businesses within this Group continue to ramp up production to meet demand. We expect deliveries of railcars for leasing company will result in a third quarter elimination of approximately $100 million to $110 million in consolidated revenues and in between $0.06 and $0.08 per diluted share. For the full year, we expect to deliver railcars to our lease fleet with the value of approximately $330 million to $350 million. Inland Barge revenues are expected to be between $130 million and $140 million in the third quarters. With an operating margin in the range of 13% to 15%, this was the business comes back up from the flood in Missouri. Revenues from the Energy Equipment Group are expected to be approximately $125 million to $135 million in the third quarter with margins of between 2% and 3%. In large part due to anticipated learning curve costs associated with building larger wind towers. Our earnings guidance also includes the step-up in interest expense related to the TRIP refinancing which will be realized for the first time during the third quarter. We anticipate interest expense on a consolidated basis to increase approximately $5 million per quarter from prior levels after eliminating interest from the amount owed on the $112 million in senior secured notes that are held by Trinity. Our previous guidance incorporated this additional level of interest expense. However, we expect to incur an estimated additional one-time expense in the third quarter of approximately $0.03 per share related to the refinancing that was not included in prior guidance. On a consolidated basis, we expect TRIP to be slightly accretive to Trinity’s earnings beginning in the fourth quarter of 2011. Where we fall within our ranges of earnings guidance will depend on a number of factors including the level of operating leverage that we achieve as our Rail businesses ramp up production in response to increased demand, the impact of product mix changes in our wind towers business, the impact of weather conditions on our construction products business, and the rate of recovery from the flood at our Missouri Barge facility. Our operator will now prepare us for the question-and-answer session.
Operator: (Operator Instructions) We’ll take our first question from Steve Barger with KeyBanc Capital Markets. Please.
Steve Barger – KeyBanc Capital Markets: Hey, good morning guys.
James Perry: Good morning.
Steve Barger – KeyBanc Capital Markets: So James, going back to the guidance that you just walk through. I just want to reconcile that, I’ve got a lot of questions on us today. If I assume that you are at $0.30 in 1Q, $0.40 occurring in 2Q and then you’re going to have a $0.03 impact that’s nonrecurring in 3Q. Then just making it apples-to-apples to your GAAP guidance, doesn’t that make it look more like one 140 to 150?
James Perry: Well, again, when we report the guidance and we look at historical earnings, we’re looking at the earnings that we had in the first two quarters of 33 and 37, so the $0.70 to date. We had the $0.32 to $0.37 guidance in the third quarter and in the 135 to 145. We’re not making any non-GAAP type adjustments on recurring type earnings, we’re simply comparing GAAP earnings to GAAP earnings.
Steve Barger – KeyBanc Capital Markets: Okay. I understand. I just wanted to make sure that we were reconciling that correctly. And turning to the rail group, your total backlog is 27,000 cars right now. I know some of that’s on a multiyear contract. Based on current visibility, can you tell us how much of that is scheduled to go in 2012?
James Perry: Steve, do you want to take that one?
Stephen Menzies: Yeah. Well, I’ve given you or provided you guidance on the number of cars we’ll manufacture in the second half of this year, the third and fourth quarters. And aside from the long-term contract, which we announced during the second quarter, the balance of our backlog will improve for 2012.
Steve Barger – KeyBanc Capital Markets: Okay. So the balance will go in 2012, okay. That’s great. And just going back to the delivery cadence in the back half. So the midpoint if I heard you correctly, it’s going to be about 14,000 cars for the year, so that implies around 8000 cars for the back half. We’ve been talking about ramp costs for a while now, and the guidance James that you gave for 3Q is 5% to 7%. If you’re not able to get better EPS conversion on what is a pretty nice unit increase, why not ramp a little bit more slowly? Do you risk losing those orders, if you don’t get those cards out that quickly? Or can you talk through why the ramp costs are – why you’re accelerating production if you’re seeing these ramp cost persist?
James Perry: Steve?
Stephen Menzies: Yeah, that’s a good question, Steve. Keep in mind a number of the orders that we received in 2011 were to be delivered by the end of 2011 to take it advantage of the 100% bonus depreciation in the year. So there was a sense of urgency to meet certain delivery requirements in 2011. But I think you will see in our production in the third and fourth quarter we’ll start to level off. And I think you will see us start to realize the operating efficiencies we’re looking for.
Steve Barger – KeyBanc Capital Markets: And presumably is your backlog filled in anticipation of that, what did pricing improve as people – as you know, you were slotting those 2011 deliveries? And will that start to flow through as well?
James Perry: We did see strong pricing as availability for production slots in 2011 became scarce. Some of that has carried over into 2012.
Steve Barger – KeyBanc Capital Markets: Okay. And so just – not to put words in your mouth, but if I heard you correctly, you do expect to start to see that operating leverage really take up at 3Q?
Timothy Wallace: We certainly expect to see improvements in operating leverage in the second half of the year yes.
Steve Barger – KeyBanc Capital Markets: Okay. Great. I’ll get back in line. Thanks.
Operator: Thank you. Our next question comes from Allison Poliniak with Wells Fargo. Go ahead please.
Allison Poliniak – Wells Fargo: Hi, good morning.
Timothy Wallace: Good morning.
Allison Poliniak – Wells Fargo: Just going back to the rail brief Steve. I think you guys are opening another line and this is actually – should have been opened already in July. We had three out of ten of your facilities open, and I know you are still ramping up. I mean what should we think about when we’re looking at that margin? Are they more lines to be open or more facilities for the back half of the year?
Timothy Wallace: Steve?
Stephen Menzies: Well, again, our production plans are pretty solid for the balance of the year. We have told you what we are going to make for the rest of the year. And we will look at additional increases in our production as demand warrants and as we see our pricing levels improve. But we are confident we can meet current demand at the facilities we are currently operating.
Allison Poliniak – Wells Fargo: Great. And can you talk about order progression in Q2 in terms of did that accelerate, stay linear? Just trying to get a sense of how orders were coming through in Q2, if you can.
Timothy Wallace: Yeah. Orders were very consistent in Q2 with Q1. Obviously, we’ve taken some large orders from third party lessors, who have entered the marketplace. We didn’t see them in prior years. So that’s had an impact on our order levels. And I would say that Q3 order levels are coming in fairly consistent with what we saw and Q1 and Q2.
Allison Poliniak – Wells Fargo: Great. And Bill, I think, you said you did a small acquisition on the highway products. Can you give us a little bit more color on that?
Timothy Wallace: Bill, go ahead.
William McWhirter II: Sure, Tim. We made a small acquisition of highway products that was just kind of a natural expansion of products, steel related. We don’t want to go into a lot of details about the particular product, but bodes into our business very, very well. And then early in the third quarter, we made an acquisition on the galvanizing side, and that’s an expansion into the custom galvanizing, which is galvanizing for other businesses not just internal galvanizing. Both relatively small, total $30 million in revenue every year.
Allison Poliniak – Wells Fargo: Great. Thank you.
Operator: Thank you. (Operator Instructions) We’ll take our next question from Tom Albrecht with BB&T Capital Markets. Go ahead please.
Tom Albrecht – BB&T Capital Markets: Hey, good morning everyone. I just wanted to clarify couple of things. So on that $0.03 onetime cost James, should that just be viewed as kind of refinancing costs?
James Perry: Yes. That’s our current estimate of the choices we will take in the third quarter through the refinancing of TRIP.
Tom Albrecht – BB&T Capital Markets: And then, so – is we kind of think about our own model going forward, so we will have interest expense. Are you going to show a separate line item for the interest income on the $112 million debt that you bought from TRIP?
Stephen Menzies: That will all be eliminated. The interest expense and interest income from the TRIP that we don’t, will simply be eliminated when you see that at the consolidated level.
Tom Albrecht – BB&T Capital Markets: Okay. And then on the barge, it’s certainly been adventuresome for you there, but I guess I’m a little curious on the guidance on the margin front being 13 to 15. I guess, because the barge margin, despite all the challenges that you had was so good in the June quarter and your guidance at that time had been 11 to 13 and even with the flood impact, it was still little over 16%. Can you just talk about why your guidance is 13 to 15 and maybe overall about what is happening with barge pricing?
Timothy Wallace: James, why don’t you handle the first question and Bill you can take care of the price.
James Perry: Sure, Tom. And this is James first. Again, as we look at our third quarter, we’re continuing to ramp our facility back up. It’s hard to get it to a normalized margin in the second quarter, as you alluded to, given what the income was, but you don’t have a sense for where the revenue would have been. Insurance certainly helped us cover some of our costs that we had from the loss of some of that business. We’ll continue to see some of that flow through the third quarter. The timing of some of the insurance recovery, we will learn as we go along. But given the pricing of the barges that are in the backlog now that we intend to deliver in the third quarter, and where we see the operations right now, the guidance we’ve provided is the current view. I’ll let bill talk about industry trends on barge pricing that we’ve been seeing in recent orders and going forward.
Stephen Menzies: Yeah. Tom, this is Bill. On pricing, if we continue to have a big mix of products that we produce, from a hopper to the 30k tank, and a 30k tank with heated; so pricing volatility is pretty big when you look at the overall mix of products that we produce. Steel continues to be a big driver. It is a highly competitive market and I would say this time Hopper is kind of range near that 500,000 result.
Tom Albrecht – BB&T Capital Markets: Okay. All right. That’s helpful. And then back on the energy for a moment, Antonio, I couldn’t quite tell if you were trying to say that the challenges should be largely done by the end of the third quarter or whether there would be possibly a little bit of a spillover on the production and product mix changes at the wind towers?
Timothy Wallace: Antonio?
Antonio Carrillo: Well, what I said was – is that at this time, it is very difficult to precisely predict when we will be done with this learning curve. And as I mentioned, there are – the industry is evolving so fast and there is technology changes that are happening that make it hard to predict at this moment.
Tom Albrecht – BB&T Capital Markets: Okay. Yeah. That’s fair. I just wanted to make sure I heard that. And then lastly, what’s the average age of the fleet of TRIP and the lease term there? Usually, you give that besides the core Trinity leasing.
Timothy Wallace: James to have that information?
James Perry: We’ll have some detail on that, Tom, as we release our financials. The TRIP fleet, it has one more quarter of aging of the second quarter from the prior quarter. We’re not adding cars to TRIP right now. So that will age one quarter each quarter.
Tom Albrecht – BB&T Capital Markets: Okay.
James Perry: And so right now it’s about 3.8 years, a little under four years with the remaining lease term of right around where the overall Trinity fleet is, about three-and-a-half years.
Tom Albrecht – BB&T Capital Markets: Okay. Thank you.
Operator: Thank you. Our next question comes from Art Hatfield with Morgan Keegan. Go ahead please.
Art Hatfield – Morgan Keegan: Thank you. Hey, good morning, everyone. Just – if I could go back to the rail group real quick, just a quick question on potential costs in Q2. As we all know, cash products have been a problem and shortage this year. Can you talk about where that stands and has that created any unusual costs in Q2 that would go away going forward?
James Perry: Steve you want to take that?
Stephen Menzies: Yes. Thank – for the question. As I mentioned in my comments, to date we have not had interruptions in our supply chain on caste products. We have been able to meet our delivery commitments thus far and that in large part because of our forecasting and long-term supply agreements that we have with providers. I would also tell you that some of it has been an opportunity for us on our own components business having an opportunity to supply additional customers with some of our capacity for various forging. So it has not interrupted our rail company business but it has presented some opportunities for our parts and components business.
Art Hatfield – Morgan Keegan: Okay thanks. Sorry I missed that. Just a couple others. On the energy business, I appreciate the comments made about the learning curve, but are you finding anything at this point in time that is inherent in the other towers that you are finding that makes 100 meter towers just less profitable? Than the 80 meter towers? Or is it too early to tell on anything like that?
Stephen Menzies: James?
James Perry: Sure this is James. I think as we go to the learning curve process that is right now associated with the costs and the inefficiencies in our plants, I would not say that there is inherently a difference in the product itself, but that is something that we continue to work with the customer on an understanding the new designs that they make the changes, and being sure that we make the appropriate changes within our factory.
Art Hatfield – Morgan Keegan: Okay thanks. And then finally, just a follow-up again on the interest expense. I think that James you had said going forward, that relative to prior periods, the interest expense should be $5 million higher and that is related to the refinancing of TRIP. But in Q3, there is that additional $3 million in cost of refinancing or $0.03 in earnings and the cost of refinancing and that is in your guidance for the quarter.
James Perry: That’s correct Art.
Art Hatfield – Morgan Keegan: Great that’s all I got today. Thanks.
James Perry: Thank you, Art.
Operator: Thank you. Our next question comes from Salvatore with Sterne Agee. Go ahead please.
Salvatore – Sterne Agee: Good morning gentlemen.
James Perry: Morning.
Salvatore – Sterne Agee: I just have a question and I just want to make sure that I understand the changes in the guidance. The first question is for the second quarter, there was in the barge business, there was that $4 million of coverage that offset the, the help offset the $4.8 million in costs. Was that $4 million baked into the original guidance of 130 to 150?
James Perry: No Sal, this James Perry. No, it was not. As you recall the guidance that we gave for the second quarter which would have been incorporated in the full year guidance, had $6 million of impact from the flood. That 6 million is actually a 8.4 million within had a fortunate timing in the quarter of a $4 million recovery from last year’s flood, not knowing the certainty or timing of that that the $4 million would not have been included in that guidance.
Salvatore – Sterne Agee: Okay. So then the originally, the net amount was – that was included, the net cost that was included in the guidance was 6 million and the net result ended up being, I guess of $4.4 million cost. Correct?
James Perry: The math is correct Sal.
Salvatore – Sterne Agee: Okay. And so you said on the – the $0.03 charge, due to the trip refinancing, that is excluded from the original guidance. Right?
James Perry: That was not included in prior guidance that we have given, that it is included in the current guidance for Q3 and for the year.
Salvatore – Sterne Agee: Correct. Okay. And then the only other change I guess would be the production and efficiencies in the wind towers business. Correct?
James Perry: Yes Sal, this is still James. As we talked about we have given you margin guidance for the different businesses in the third quarter. There are several moving parts right now but the primary difference as you talked about is the inefficiencies we experienced in the second quarter and expect it going forward for a little while in the energy business.
James Perry: Okay. Very good. Then if I could just shift over to the railcar leasing business. You talked about strong pricing environment and potential for up pricing on lease renewals. Can you pinpoint for the second quarter and particular, what the positive revenue impact was from repricing?
Stephen Menzies: James?
James Perry: Sure, Sal, this is James. We don’t specifically get into the pricing itself. You will see as you dive into the 10-Q, the operational profit continue to improve in that business. Utilization has moved up over the last several quarters. Lease rates have continued to move up, and we have also had good success in renewing cars with the same let’s see which reduces some marketing expenses. That moves quarter-to-quarter, but those trends have all led towards over the last several quarters what you now see is very positive minimum in that business. We also had in the second quarter profitability from car sales. That is a piece of the business that we periodically have as the market is favorable. That generated profits of about $3.4 million in the second quarter that is detailed in the 10-Q that we will release after this call.
Salvatore – Sterne Agee: Okay. That’s helpful. Can you give a sense for on the railcar leasing business, just roughly ballpark, what percentage of the book of leases or rose over every year for the next couple of years or quarterly or however you wanted it?
James Perry: Sure, Sal and this is still James. When you look at the average remaining term of our fleet you end up with about 1/7 call it 15% ballpark of our fleet in a given year 15% to 20% of the fleet may roll over. We don’t have any near-term periods where there’s an inordinate amount of cars coming up for renewal.
Salvatore – Sterne Agee: Okay. That’s helpful. And then just one last question on the railcar business. What is it after opening the July facility, that you alluded to earlier, that is being opened in July. What is your production – railcar production capacity?
James Perry: Steve would you handle that? I’m kind of lost with this facility in July.
Stephen Menzies: Yes Sal, Steve Menzies. We have not made any announcements about opening facilities in July. We currently operate on our production footprint and feel again that that is satisfactory to meet our current order backlog and demand.
Salvatore – Sterne Agee: I’m sorry. I must have misunderstood a comment that was made earlier. So the current production capacity is there – can you give that? Or is that something you don’t disclose?
Stephen Menzies: We typically don’t disclose that. There is a lot of variables that affect capacity. But again, very confident that our current production footprint meets current demand and as we see demand continue to increase in pricing strengthen, we’ll consider looking at additional production capacity to bring on strength.
Salvatore – Sterne Agee: Okay. Fair enough. Thank you.
Operator: Thank you. At this time there are no further questions. I’d like to turn it back to our speakers for any closing remarks.
Gail Peck: Thank you. That concludes today’s conference call. A replay of this call will be available after 1 o’clock Eastern Standard Time today through midnight on August 3, 2011. The access number is 402 220-0119. Also, the replay will be available on the website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.